Unknown Executive: Okay. Good morning, everyone, and a very warm welcome to Anglo American's 2025 Results Presentation. Just a few words from me before I hand over to Duncan and John. Of course, first, as always, safety. It's our very first value and our #1 priority, and we are making very, very good progress. We recorded our lowest ever total recordable injury frequency rate last year. But in spite of this great progress, we actually had two workplace fatalities last year, tragic and of course, unacceptable. Duncan will mention this and talk a little more about it in his presentation, but let me add that we cannot and will not rest until we are consistently achieving zero harm. So now as many of you know, 2025 was a year of transformational progress at Anglo American. We've executed major portfolio changes to unlock substantial value for our shareholders, and that has paved the way for what we now see as the next step in our journey and our strategic phase of value creation. And that is, of course, to form a global minerals champion in the shape of Anglo Teck, setting up exceptional investment exposure to copper in particular. Now whilst offering compelling value, of course, through the exceptional synergies, both industrial and other, this combined entity will be set up also to create long-term value based on the many things that these two companies have done so well over so many years, focusing on safety and health, being responsible and inclusive, environmental stewardship and social progress for our many stakeholders. Our Board looks very much forward to progressing this formidable combination towards completion once we have received the final outstanding approvals. Briefly on Board changes, Anne Wade joined our Board at the beginning of last year as a Nonexecutive Director, joining also our Audit and our Sustainability Committees. She's already made a significant contribution to our Board discussions, particularly bearing in mind her deep buy-side capital markets experience. And then in December, Hixonia Nyasulu stepped down after 6 years with the Board, and we thank Hixonia for her many contributions to our discussions over that time. Thank you. That's it from me. Let me now hand over to our CEO, Duncan Wanblad. Duncan?
Duncan Wanblad: Good morning again to everybody, and thank you for that introduction, Stuart. As Stuart said, a pretty big year for us in 2025 and one that I do think was pretty transformational in the context of Anglo American's history. We had significant strategic delivery, laying very strong foundations for the next phase of our journey, which will be in the form of Anglo Teck. Now those of you who are regular attendees at our results will recognize this slide particularly. It is the 3 pillars of our strategy, which is operational excellence, portfolio optimization and growth. And these are the key drivers of how we move this business forward. And 2025, as I said, was a year with substantial execution progress against each one of these three objectives. My pages got stuck together, so I nearly got to the conclusion. Questions, Jason. Starting off with operational excellence. Our focus was unwavering here and I believe continues to drive the right results for us. We've got very high-quality assets, and we are running them very well with a focus on maximizing returns for the long run, which is after all and after safety, the most crucial deliverable for our shareholders. Our copper and iron ore businesses have performed very well, delivered on their 2025 production guidance with effective cost control across the businesses, seeing us deliver our cost savings targets, and John will talk about those a little bit later. Now these cost savings were supported by the delivery of the recent head office transformation program that we ran, which resulted in a 21% headcount reduction. The growing stability in our asset base is allowing us to better identify and manage risks early and also to increasingly realize opportunities within the businesses. The evolution of our culture to prioritize and drive local accountability, where people on the ground actually have the power to shape the best outcomes is enabling these results. The portfolio optimization also took great strides forward during the course of last year, and I'm thrilled with the execution of the PGMs demerger. The successful demerger of Valterra and the full sell-down of our residual 19.9% stake has helped to unlock material value for our shareholders. And of course, very helpfully, we raised approximately $2.5 billion out of those sell-downs, which went a long way to helping us delever our balance sheet. We continue to work towards streamlining the business, and I'm going to talk a little bit more on that later on when we get to the transactions underway. Copper is absolutely at the forefront of our growth ambitions. Finalizing the agreement with Codelco to implement a joint mine plan for our adjacent operations, Los Bronces and Andina, was a truly remarkable transaction. It in and of itself unlocks $5 billion of pretax value across the complex and more copper tonnes for both companies as well as for Chile with minimal incremental CapEx. We've demonstrated what is possible when we can come together as an industry and partner with each other, and that translates, I believe, into compelling industrial synergies with huge significant upsides. And finally, we announced the merger with Teck to create a global critical minerals champion. The merger will position us in an increasingly competitive landscape to be able to create substantial value through industrial and financial synergies and cement the combined company as a world-leading copper producer. Now since announcing the merger in September of last year, we've made very good progress in forming Anglo Teck. Over the recent months, we've achieved several major milestones. First, overwhelming support from our shareholders on both sides. Several major regulatory approvals have already been secured, including the approval under the Investment Canada Act at the end of last year. Our focus now is, of course, moving to integration planning, and that is progressing at pace as we work together with Teck to find the optimal organizational structures, the optimal systems and processes that will make this the most outstanding business in the sector. We have had fruitful conversations in the context of integration planning. As I said, the new Board and management team will be formed on completion, and we are aiming to hit the ground running in Vancouver from day 1. I will continue to oversee the crucial integration work together with Jonathan, that our teams are now progressing jointly ahead of closing. I would hope that everyone will understand that this is going to now take some time during the course of this year, which will mean that we're not going to have a lot of new news publicly certainly anyway until we get much further along this process. We still do expect completion around 12 to 18 months from the date of announcement. So closing, our best estimate remains now somewhere between September of this year and March of next. Real process is still to happen are the regulatory processes, which includes China. So we've got South Korea and China to go. These processes are on track, and we'll update you all as that happens. Once these processes are cleared, we would expect the path to completion to be relatively swift with the $4.5 billion special dividend payable to the Anglo American shareholders of record on or around completion. I remain really excited by the benefits that this merger is going to deliver. Now moving to safety. And as Stuart said, this is absolutely our first priority and will continue to be our first priority. I've said it before, and I'll say it again, there isn't a single tonne of any material that we produce that is worth the cost of a human life. And during the first half of this year, we sadly had to report two fatalities in separate incidents at our managed operation. One was in Brazil, a projects contractor working on our filtration plant in Minas-Rio, who fell from heights and the other in an LHD accident in Unki in Zimbabwe just prior to the demerger of Valterra. These tragedies weigh very heavily on all of us and in the starkest terms, I think, remind us of the critical importance of running a safe business. There is always going to be more work to do, but I am encouraged by the improvement that we're seeing in our injury rates across the business with the frequency rates now, as Stuart said, down to the lowest recordable levels in the history of the company and 20% lower than they were last year. We're driving on the right path with the right trajectory, and this is enabled by the critical action programs that we've installed in the business and further strengthen our focus on the most impactful safety actions as well as leaders having the time to spend in the field and more meaningfully engage with the frontline teams and specifically on safety. In 2026, we're going to continue to strengthen that approach with our leaders and allowing them to spend even more time in the field. We do this by, as I said to you a couple of years ago, ruthlessly prioritizing their work and simplifying the work that they need to do, and that gives them time to properly engage with the people doing the work, not only in a one-way conversation, but in a two-way conversation that helps us understand better how we can design the work for people to execute. These changes reflect our unwavering commitment to safety as the foundation of stable, predictable and high-quality performance. We have more work to do here, of course, but the progress is clear and our focus remains firm. Turning then to our operational performance and our outlook. I'm very pleased with the performance that we've seen in our copper business during 2025 and the fact that it met its production guidance. In Copper Chile, as you know, Collahuasi will be going through a much lower grade phase in 2026 with performance expected to improve significantly from 2027 onwards as they access the fresh ore in the Rosario pit. Pleasingly, we are also seeing the benefits of our previous reset to the Los Bronces mine plan, and that has restored both optionality and flexibility within that business. The team has delivered really well on the development of Donoso 2. Donoso 2, as you all know now, is the next production phase of the mine, and it is characterized by much higher grades than where we're mining today and slightly softer ores. So coupled with the very strict cost control and discipline that's being embedded across the business, this has enabled us to reassess the economics of restarting the second plant at Los Bronces in light of the current copper price environment. So we have now restarted that plant, and it will deliver cash-generative tonnes throughout 2026, but we will need to shut it down again, of course, at the end of the year because we need the water that we use to run that plant to move a tailings dam to be consistent with our GISTM commitments. That's the Perez Caldera tailings dam. We will then obviously have a lot more flexibility on restarting this plant again permanently when we combine the two mines, Andina and Los Bronces closer to the end of the decade. Our newest copper mine in the portfolio, Quellaveco, has delivered strong operational financial results with throughput exceeding the design capacity. And while we continue to increase our understanding of this ore body, which is pretty typical for new mines, Quellaveco remains positioned as a high-quality, high cash flow generative asset, operating stably producing around 300,000 tonnes of copper a year in the coming years. And although Quellaveco is not going to have the same long-term grade benefit that will accrue to the likes of Collahuasi or Los Bronces over time, the mine is an absolutely key asset in the portfolio and provides a very strong base for expansion in Peru. We are now entering a phase where we should see rising copper volumes without doing too much differently. The stripping at Collahuasi will have caught up, and we will be fully into Donoso 2 at Los Bronces. This should drive around 125,000 tonnes of lower risk growth in the short term. After 2028, we will be approaching the integration for our two major JVs, leading to the next leg of growth, which I'm going to speak about a bit later. And then the new Anglo TecK will also have substantial optionality into the future. Turning to the iron ore business, which has been demonstrating consistent and strong performance. In South Africa at Kumba, preparations are now well underway for the UHDMS tie-in, which is set to happen later this year at Sishen. That project is progressing to plan and on budget, and we see the production will be down around 4 million tonnes during the course of this year as we do that tie-in because the DMS plant is offline as we do it. We do, however, have -- I mean we have, however, prepared and do have ample stock available, which we will draw down on during this tie-in period, and therefore, we should see sustained sales volumes to similar levels of those that we achieved in 2025 as a result. This is a project that is going to significantly increase the proportion of premium quality iron ore as it ramps up to full capacity by the end of 2028 and allows for more flexibility in our mining. We retain conviction in the long-term demand fundamentals for higher-quality products, where we expect to see increased price realizations as steelmakers decarbonize and as steel markets evolve. Our Brazilian iron ore operation at Minas-Rio has really been the star of operational excellence during the course of this year. Despite the impact of the planned pipeline inspection, which was conducted in August of this year, production was broadly flat versus prior year. This is a testament to the focus of the team on continuous improvement to optimize an integrated system. This operational effectiveness will especially be helpful from 2028 onwards when the mine transitions from its current ore body in the soft, friable ores into areas with much more feed variability. Work to integrate even higher quality DR-grade Serpentina resources to supplement the production in 2030 is progressing well. Turning now to portfolio optimization. In steelmaking coal at Moranbah North, following a very long journey with a number of stakeholders, which include our own workforce, the regulatory authorities in the form of the RSHQ and other industry safety and health representatives were very pleased to receive regulatory approval for a remote start of these operations back in November of last year. And in the couple of weeks -- in the last couple of weeks, so beginning of February, we received the final lifting of the directives by the regulator, which now enable the mine to ramp up in the normal course to full production. There is also good news from Grosvenor. We secured approval for the first stage reentry back in August, and that enabled visual inspections, which then confirmed limited damage to critical infrastructure as a result of the fire there several years ago. The teams are now developing plans for a restart, which could enable longwall production to recommence from as early as 2027 under new ownership. Off the back of solid operational progress and the strong inbound interest that we have received over the last few months, we restarted the formal sales process at the end of last year. The first phase of the new tender process commenced in early January with us aiming to achieve an announcement of a sale during the second quarter of this year, and we are targeting completion by the end of this year. There is healthy interest in our steelmaking coal assets. Long-term supply and demand fundamentals remain relatively attractive for this sector and prices have recovered in recent days. In nickel, we signed a definitive agreement with MMG back in February of last year for proceeds of up to $0.5 billion. The regulatory processes to complete the sale for the business are continuing. And now we have the final stage to go, which is the European Commission, but they have progressed this now into a Phase 2 review. So both MMG and Anglo American are working very closely with European Union to ensure that they have a complete understanding of what we believe a transaction -- that this transaction means to the market and one where we believe it preserves and actually may even enhance market competition. Lastly, a word on De Beers, where we have now a very well progressed and responsible exit in the advanced stages of discussions with a select group of interested parties. All of these parties are strategic, and we are at the back end of our formal processes. We continue to have very constructive discussions with the government of Botswana, who, of course, are going to be crucial in the determination of the endpoint of this process. With respect to diamond markets, although we have seen stability in the end market for natural diamond jewelry over the last 6 months or so, the diamond market remains very challenged, exacerbated by the increased supply, specifically from Angola and tariffs-driven uncertainty. We are focused first and foremost on achieving a responsible exit, but we will continue to work closely with the De Beers team on the actions required to optimize cash flow performance, both now and over time. And as I've said before, with some of the best diamond mines as well as resources and marketing capabilities in the world, De Beers is very well positioned to emerge and thrive as the market leader and as the market recovers. We continue to believe that there is significant upside potential to this business for the right owners, and we continue to keep the market abreast of these developments. And with that, I'll hand over to you now, John, just to take us through the '25 financial performance and the guidance.
John Heasley: Thank you, Duncan, and good morning, everyone. I'm pleased with the financial performance of the business for this year. We delivered on our production and cost guidance as well as our $1.8 billion cost-out program and saw further reductions in working capital. This focus on total cost and cash is now firmly embedded throughout the organization and our performance management processes. These achievements are all evident in our financial results. But of course, as we progress through the portfolio transformation, the financial reporting again is complex. This slide aims to try and help navigate through that complexity. Our continuing operations include our end-state simplified business, but also include De Beers at least until the sales process is further advanced. While our discontinued operations include PGMs up to the demerger in May of last year as well as steelmaking coal and nickel. So continuing operations EBITDA of $6.4 billion and earnings of $0.9 billion are not fully reflective of the high-quality financial profile of the go-forward business. The simplified business focused on copper and premium iron ore delivered $6.9 billion of EBITDA, 44% EBITDA margin and underlying earnings of $1.6 billion, benefiting from strong realized prices and delivery of our cost savings. De Beers reported negative $0.5 billion of EBITDA, and I'll come back to that in more detail later. The discontinued operations generated $0.1 billion of EBITDA in the year, reflecting 5 months of earnings from PGMs before the demerger, partially offset by losses in steelmaking coal following the operational incident at Moranbah North. The effective tax rate for continuing operations was 52%. This reflects the impact of De Beers rather than any underlying tax rates with the go-forward simplified portfolio tax rate being 39%, as I'll explain shortly. The combination of continuing and discontinued operations has resulted in underlying earnings per share of $0.54, which translates into full year dividends of $0.23 per share, in line with our 40% payout policy. That includes the final dividend declared by the Board of $0.16 to be paid following shareholder approval at the beginning of May. I'll now move on to talk through each of these areas in a bit more detail. Starting with the simplified portfolio, we've delivered a strong set of results. Our basket price was up 2% as higher LME copper prices were partially offset by lower benchmark iron ore prices. Realized prices, however, were up in both businesses, benefiting from provisional pricing impacts. Production was down 4%, mainly due to lower ore grades and recoveries at Collahuasi as we process stockpiles while developing the mine towards the sustainable higher grades expected from late 2026. There was also an impact from lower plant throughput at Los Bronces as the smaller processing plant was on care and maintenance. Despite the lower production, revenue increased by 4% due to the higher realized prices. And when combined with our focus on costs, this flowed through to generate EBITDA of $6.9 billion, a 9% increase year-on-year. As you can see from the slide, copper and premium iron ore contributed $4 billion and $2.9 billion, respectively. Consequently, our EBITDA margin improved 2 percentage points to 44% with return on capital also higher at 17%, underlying earnings increased by 1% to $1.6 billion with higher net finance costs, partially offsetting the benefit from a lower effective tax rate with a simplified portfolio of 39%. This reduction in tax is driven by a lower unrecovered corporate costs and is broadly reflective of the blended rate across our operating jurisdictions. Looking specifically now at our unit costs. In copper, we benefited from lower TC/RCs, partially offsetting the impact of lower production from Collahuasi. Quellaveco delivered another standout performance with unit costs of only $0.89 per pound. In our premium iron ore business, Kumba was broadly flat year-on-year, while Minas-Rio incurred higher costs from the planned pipeline inspection activities. And as you've heard me before say, I know the industry focuses on unit cost reporting, but we are focused on managing the total cost base. And on that basis, I'm pleased to show only a 1% increase year-on-year, reflecting good cost management across the business as well as the impact of lower volumes, which offset the impacts of stronger producer currencies, CPI and one-off impacts such as increases in rehabilitation provisions. Looking now into the drivers of our continuing EBITDA after stripping out the impact of De Beers. Favorable realized pricing in copper and premium iron ore resulted in a $1 billion EBITDA uplift. That was partly offset by the stronger South African rand and CPI inflation, which together impacted EBITDA by $0.3 billion, while lower volumes from Copper Chile had another $0.3 billion impact. However, I'm delighted once again with our focus on cost savings this year. We realized gross cost savings of $0.6 billion, while cost headwinds of $0.2 billion, primarily from additional stripping at Collahuasi were fully offset by that $0.2 billion benefit from lower copper TC/RCs. The other bucket mainly reflects the nonoperational impact of increases in long-term rehabilitation provisions for Copper Chile, bringing EBITDA to $6.4 billion. Over the last 2.5 years, we've committed to delivering total cost savings of $1.8 billion across our business operations, corporate overheads and initiatives. As a reminder, in 2024, we realized $1 billion of savings and at a run rate of $1.3 billion coming into 2025. We targeted to realize an incremental $0.5 billion in 2025 and have managed to deliver slightly ahead of that at $0.6 billion. That reflects $0.2 billion of operational savings from the business as well as $0.4 billion from corporate restructuring and initiatives. So we now stand with realized savings of $1.6 billion, and we've executed all the initiatives needed to achieve the total $1.8 billion, with the final $0.2 billion before the impact of dissynergies also of around $0.2 billion to be realized in 2026. Of course, we've embedded a strong cost culture through the organization and our core processes, which will support continuous improvement going forward, including through the Anglo Teck integration process. Now moving on to our exiting business, starting with De Beers. Market conditions continue to be challenging, driven by the impact of lab-grown diamonds, U.S. tariffs and increased supply. As we came into the year, we were very focused on ensuring that De Beers was self-sufficient from a cash perspective. This meant that we undertook initial cost-out initiatives and drove inventory down by both managing production closely and responsibly increasing sales. You can clearly see the impact of these actions in the results. Sales volumes and revenues are up despite lower prices, while unit costs are down 8%. These actions could not offset the lower pricing environment, and so EBITDA was a loss of $0.5 billion compared to breakeven last year. However, the fact that we fulfilled a large portion of those sales from inventory meant that we reduced that inventory by $0.9 billion in the year and kept the business at broadly cash breakeven. This means that we now have midstream inventory at broadly normalized levels. As part of our year-end processes, we undertook an impairment review of De Beers and have recognized a $2.3 billion impairment within special items. This reflects our latest views on the near-term adverse macroeconomic conditions and industry-specific challenges. Since last year, the key changes are largely attributable to an extended period of lower rough diamond prices, driven by a slower differentiation of lab-grown and natural diamond markets, continued weak China demand and increased supply. The impairment, along with other movements in capital employed, brings the carrying value of De Beers as a whole to $2.3 billion, of which our attributable share is $1.9 billion. As we move into 2026, we will continue to focus on cash preservation. With less opportunity to release cash from inventory, we will be very focused on taking action to reduce structural costs and capital as we transition through this challenging market period and towards exit. Briefly touching on our discontinued operations, EBITDA was $0.1 billion, reflecting lower PGM's earnings with only 5 months consolidated in 2025 and those 5 months being impacted by the flooding at Amandelbult. This was offset by a loss in steelmaking coal, given the impact of Moranbah and Grosvenor. This translated into an underlying loss of $0.3 billion. There was then a loss on demerger of PGMs that we reported in the first half of $2.2 billion, which drove the statutory loss of $2.5 billion. The net impact from the discontinued operations was a net cash impact, sorry, from discontinued operations was a $0.7 billion outflow for the full year, and I will explain this in a subsequent slide. We continue to maintain a strong focus on cash generation. Our sustaining attributable free cash flow benefited from $0.6 billion working capital inflow, primarily from that reduction in diamond inventories. Excluding that benefit from De Beers, the go-forward business kept working capital broadly flat, which was a good achievement given the increased copper prices. This resulted in the conversion of operating profit to cash, including sustaining CapEx of 107% for continuing operations as a whole and 91% for the go-forward business. And this left sustaining attributable free cash flow for the year at $1.4 billion. Moving on to net debt, we've seen a $2 billion reduction to $8.6 billion. The sustaining attributable free cash flow generated by the continuing operations of $1.4 billion more than funded growth CapEx as well as returns to shareholders. Discontinued operations resulted in a net cash outflow of $0.6 billion, reflecting the Jellinbah proceeds, offset by the impact of the PGMs demerger and the negative cash cost of steelmaking coal following those operational incidents. The overall reduction in net debt was therefore largely driven by the $2.4 billion proceeds from the sale of the residual 19.9% stake in Valterra, which happened in September and leaves net debt to EBITDA at 1.3x. Excluding shareholder loans, net debt stands at $6.8 billion. The group continues to have a strong liquidity position, and I would expect to see leverage come down further as we conclude the remaining portfolio transactions, coupled with the strong underlying momentum in the go-forward business. On capital expenditure, we took decisive action in 2024 to reduce CapEx and rationalize the spend, and we've seen a 16% decrease in our CapEx in continuing operations to $3.3 billion, which was below our guidance. This has been supported by the establishment of our projects group, who manage a significant portion of our spend, thereby driving efficiency and effectiveness benefits across the group. Growth CapEx included $0.3 billion at Woodsmith as well as spend for the Collahuasi debottlenecking and the Kumba UHDMS project with a reduction year-on-year driven by our slowed approach at Woodsmith. Excluding De Beers, the CapEx for the simplified portfolio was $3 billion. Turning now to our guidance. In 2026, our copper unit costs will increase to around $1.72 per pound from $1.50 per pound. This is mainly due to the impact of a stronger currency where we're assuming CLP 860 and PEN 3.2 to the U.S. dollar and in part due to the change in production mix between Los Bronces and Collahuasi. Our premium iron ore unit cost will be around $41 per tonne, once again, predominantly driven by stronger producer currencies with ZAR 16 and BRL 5.3 to the dollar incorporated, but also reflecting the tie-in of the tailings filtration plant in Minas-Rio. On our other 2026 guidance, the group underlying effective tax rate for our continuing operations is expected to be between 44% and 48%, subject to the mix of profits and timing of the exit of De Beers from the portfolio. It's not shown on the slide, but our long-term guidance for the simplified portfolio, excluding De Beers, remains unchanged at 38% to 42%, in line with the 2025 outcome that I shared earlier. Continuing depreciation will be between $2.4 billion and $2.6 billion, a slight increase from 2025, reflecting some major projects coming online in copper, such as the Collahuasi desalination plant. From a cash flow perspective, next year, we're expecting around $0.2 billion of restructuring and merger costs. And from a net debt perspective, we expect a one-off noncash impact of $0.5 billion from the recognition of lease liabilities associated with the Los Bronces integrated water solution project that will ramp up during this year. Moving on now to CapEx. Clearly, all of our capital allocation decisions for 2027 and beyond will be shaped by the merger with Teck, which will only be determined by the new Board in the period post completion. As such, our CapEx and asset plans will, of course, be subject to revision in due course. But in the meantime, we expect CapEx for the next 3 years for the simplified portfolio to range between $2.6 billion and $3.1 billion, which is very close to our previous guidance. We also expect De Beers's CapEx to be around $0.5 billion in 2026, similar to previous guidance, but slightly higher than 2025 due to deferred spend at Venetia Underground, although we will obviously be keeping that under close review. Sustaining CapEx for the simplified portfolio over the long term will be around $2 billion per annum with fluctuations over the next few years, reflecting modestly higher stay-in business CapEx across a few of the businesses. On our growth CapEx over the next 3 years relative to previous guidance, we're seeing lower capital spend come through in copper due to the Los Bronces/Andina joint mine plan and the potential Collahuasi QB adjacency as we pursue more capital-efficient options. On Woodsmith, we will be spending less than in 2025, at $250 million of CapEx in 2026 and 2027, in addition to $50 million of OpEx as we continue to work towards having at least a real option for consideration over the coming years. This is, of course, still guided by our three conditions needed to move towards final investment decision. Those three options -- those three conditions being a completed feasibility study, having the project syndicated and our balance sheet being in robust financial health. This will be in 2028 at the earliest, at which time the Board of Anglo Teck will be able to consider this project within the context of the wider portfolio. To finish off, I'll recap briefly on the key financial messages. Our focus on safe and stable operations as well as structured cost control is driving strong EBITDA margins across our copper and premium iron ore businesses. We've successfully delivered our $1.8 billion cost-out program with realized savings in 2025, slightly ahead of plan. Strong cash conversion reflects our focus on working capital management and capital efficiency. And together with the proceeds from the sell-down of our stake in Valterra, we reduced net debt by $2 billion with further deleveraging expected as we secure proceeds from the divestments of SMC, nickel and De Beers. All of this means we look forward with confidence as our reshaped portfolio will deliver higher margins, higher cash conversion and higher returns on capital employed. Thank you, and I'll now hand back to Duncan.
Duncan Wanblad: Thanks, John. So turning now to the biggest component of our go-forward business, which is copper. If you go back 100 years and look at the copper returns on capital employed, it helps to contextualize, I think, the current copper price environment. So while copper prices may be at record levels in nominal terms at the moment, the increase is only now just starting to translate to the returns that we've seen in comparable historic situations. This makes sense in the context of the inflation in capital intensity and operating costs that has been experienced, especially since COVID. This is also very unlikely to be a short-term phenomenon given the combination of structural demand growth and the extended length of the capital cycle on the supply side, which has been key to extended upward trend patterns in the past. This is where the inherent value in our portfolio of copper assets and growth pipeline optionality really shines through. We have world-class assets well positioned to benefit from this upturn. And for Quellaveco, for example, that means it's now on track to deliver a capital payback this year, only 4 years after first production, which in and of itself is quite an incredible milestone. So this follows on well to the next slide, which says that the copper industry has generally been pretty awful at estimating costs for new projects. The chart on the left here shows that the average milled copper head grade for new greenfield projects is materially lower than the current installed capacity. But despite this, the estimated average capital intensity for new projects is at $19,000 a tonne, and that is materially lower than actual projects that have actually been built since 2010, which are at almost $30,000 a tonne adjusted for inflation. So we have two key things going in our favor in copper. One is our project development and sustainability capabilities, and I'll talk about that on another slide in a moment. But second is that we have a much lower starting point relative to the intensity of our capital projects than the industry average. This difference in our growth profile where we will have the ability to develop less complex brownfield adjacencies should reduce the risks around the magnitude of the potential cost overruns that have consistently plagued the industry over time. As we move through the merger with Teck, we will have a host of projects to choose from that further cement this low capital intensity base. One such option is the Collahuasi-Quebrada Blanca adjacency, which we've talked about in some detail when the merger was announced. The industrial synergies are really attractive there, and it is also very capital efficient. There is, of course, plenty of work to do to make this a reality, and that's getting underway now. The focus now is on working towards the right plan to optimize that value, and we are working with our other stakeholders to achieve this common goal. We have extensive experience in negotiating adjacencies, so we are well aware of the commercial considerations that will be required. This is an opportunity to drive substantial value creation for all. Just to note, as it relates to the broader copper pathway, no decisions have been made about the sequencing of projects in the combined portfolio, and all of this will need to be planned within the capital allocation framework that we will have to put in place for the merged company. However, the slide highlights that we do have the benefit of many options to consider. Our project delivery and development capabilities are the foundation of how we expect to create value from this growth pipeline. Our approach to project development is a fully holistic one. Our study and project teams are focused on investing both the time and the money upfront on the right type of analysis underpinned by years of expertise and experience in delivering well-sequenced brown and greenfield projects, which inform the optimal development pathways for the growth options that we have. We believe that this rigor in our studies approach is a differentiator, enabling projects to be confidently delivered at pace. Given the recent uptick in commodity prices, we do expect that the industry more broadly is likely to rush to bring tonnes online. And history has shown that this less mature approach leads to having to build and adjust plans in the field as risks reveal themselves pretty late on in the execution. And therefore, you have less flexibility for adjustment, and that typically is much more detrimental to project returns. The other side of the project development capability, which drives our differentiated positioning is sustainability. Our capabilities there have been built up over decades. Sustainability is not something that is stand-alone. Environmental and social considerations are deeply integrated into the way that we design and develop our mines, operate our assets, market our products and leave an enduring benefit, we believe, to the environment and the communities at the end of the life of a mine. As a responsible operator with a long-standing reputation to match, we have the experience and track record, which helps secure our social license to build projects and supports our ability to access future development resources and opportunities, both from the significant endowments within our business as well as more broadly. In the same vein, our sustainability strategy is designed to enable our business ambitions and is focused on three key themes that will be familiar to you certainly since 2018. These are being a trusted corporate leader, enabling a healthy environment and supporting thriving communities. We have been updating the strategy for our simplified portfolio, ensuring that it is aimed at protecting and creating value for the business and for all of our stakeholders with a real impact tailored at the local level, the communities and the natural environment around our operations where it matters the most. Now to be clear, our update work has so far only been focused on Anglo American simplify portfolio, and we will now need to work together on the Anglo Teck sustainability strategy. This will, of course, need to follow completion of the transaction. But given the associated time lines of that, we wanted to provide the market with an interim update. And on that basis, a little later today, Helena Nonka, who is our Chief Strategy and Sustainability Officer, will be joined by Patricio Hidalgo, who is the Chief Exec of our Copper business in Chile; and Mpumi Zikalala, who is the CEO of Kumba in South Africa for a webcast panel discussion and Q&A on the way that we are evolving sustainability in Anglo American and why we believe that is a real enabler of value creation. So please do join that session and learn a little bit more about how we're putting all of this into practice. In conclusion, we've had a truly transformational year. The business continues to embed operational excellence and leaves us well positioned to deliver strong performance in the coming years. We are working hard on the final elements of our portfolio transformation alongside the final regulatory approvals to create a global critical minerals champion. The merged company will have an outstanding portfolio with leading exposure to copper and other commodities and products with a structurally attractive outlook. That includes a variety of pathways to accretive expansion in shareholder value, including some of the most exciting adjacencies that exist in the mining industry today as well as a number of project development options. We know there is plenty to do again this year, but we are completely energized by the opportunity and the belief that we are creating something very special here indeed. And with that, Tyler, I'll hand over to you to moderate the questions.
Tyler Broda: Great. Thanks very much, Duncan. I see Liam is in the Golden Chair here today. So here you are.
Liam Fitzpatrick: Liam Fitzpatrick from Deutsche Bank. Just had 2 or 3 questions on Collahuasi and QB and kind of the timing and process. So I think you originally said you wanted to begin construction from 2028. So can you walk us through when you would hope to reach an agreement with Glencore and the other partners and when you would need to make the relevant permit license applications to meet that deadline? I think Glencore has said recently that they would like to be a kind of equal owner with you in that future JV if that's where it heads. Is that a deal breaker? Is that on the table? And final quick one, has your team visited QB since the due diligence in the summer? And are you happy in general with how the TMF work is progressing?
Duncan Wanblad: Okay. Thanks, Liam. Look, the baseline for growth at Collahuasi is the fourth line. And that has a very key milestone in and around the back end of 2027, where you have to commit to the development of the fourth line. Once you start deploying large amounts of capital into a new plant, that starts to materially impact the viability and the returns associated with the combination of Quebrada Blanca and Collahuasi. So around 28 on current production rates at Collahuasi is when we would need to be sure that we are going down the combined mine path or we are taking a stand-alone fourth line pathway. I mean it is clear to me that based on all the economics that I've seen of both of those options that the combined QBC option is by far and away the most attractive, not least of all because of the lack of complexity, relatively speaking, in terms of building that plant and infrastructure, but also because of the capital intensity associated with it. And that's a very big driver of returns in the copper mining industry. So on that basis, we really do need to get a crack on and we need to get the ownership arrangements sorted out. We need to get the shareholder agreements in place and move on. I'm very well aware of Gary's wishes. We have had a conversation. So Gary and I directly, he's been very forthright in terms of what he would like at the end of the day. I have been similarly forthright as to what I would like at the end of the day, and now we are negotiating. I'm not sure what Gary will choose to do here, but I won't negotiate this in public. So we will just keep going until we've got a plan that makes sense for all shareholders and get it done as quickly as we can because the value at stake is pretty high here. I don't believe we have actually visited [indiscernible] Quebrada Blanca since the diligence in -- just before the announcement in September. But I do know that we have provided some assistance to Quebrada Blanca on the technical side in terms of them working through the most optimal way to manage the paddocks around the development of the tailings dam and provided some advice and information to them on the cyclone modifications that they have just installed and seem to be operating okay.
Tyler Broda: We'll go to Ian [indiscernible] back and forth with Russouw equally.
Ian Rossouw: Ian Russouw from Barclays. First question on Woodsmith. It would be great to get a bit of details around that and how the feasibility study is going in the shaft. And around the -- I guess, how should we think about this partnership? Obviously, you mentioned a 25% equity stake. Is that a fixed number? Or can that swing around? And then secondly, just on De Beers, obviously, it's been great to see the working capital release sort of help bring that cash flows to neutral. You won't have that card to play this year in a still challenging market. How can you sell a cash negative asset? Are you confident that you can do that? And how should we think about the structure? Should we think about a sort of low upfront value and then deferred sort of number contingent on the recovery in the diamond market?
Duncan Wanblad: Okay. On Woodsmith, the progress of the feasibility study. So I think last year, this time, we were pretty clear on the three requirements that we needed to get to a point where we could ever even contemplate a full notice to proceed sanction for the project. One of those was a feasibility study. The second was a syndication and the third was having a balance sheet that was robust enough to carry the development of the project in its syndicated form forwards. Specifically to your question on the feasibility study. So in accordance with the slowdown plan, it's progressed really rather well during the course of last year. So they got to about 30 kilometers on the tunnel of 37 kilometers with a single tunnel boring machine, and we got pretty well into those sandstones. The outcome of that experience in the sandstones is that we can absolutely mine at more than a meter a day, which was the key determinant point in terms of whether it was going to swing one way or the other. There's more water than we would like in those sandstones for sure, but the drilling rate is fine or the cutting rate is fine to support the current economics in the feasibility study -- in the pre-feasibility study. And then as far as the syndication is concerned, of course, we're delighted that Mitsubishi has taken an option on this thing. They have invested quite a lot in this thing, both directly into the project, but also in their own understanding of the end markets themselves. So Mitsubishi have now got a reasonably well-developed trading desk in fertilizers. They've developed an understanding and knowledge of this. And I think that, that gave them enough confidence to acquire an option for a 25% stake in the project if and when it gets to feasibility study. So I think that that's very positive on a momentum basis, but still a long way to go given the timing to get to feasibility. I mean just on feasibility, the next hurdle now having understood the sandstones and the impact of sandstones to the project is to get close enough to the ore body, so we can put some lateral long holes on top of the ore body with some deflections down into it, and so we can start to characterize and define the detail of the ore body to help us develop a mining plan that will ensure the payback period if we sanction the project. And I think as John said, given all of that stuff that's going on, I mean, it's running exactly as per the slowdown plan at the moment, no chance of any of that happening before 2028. On De Beers, regarding the working capital release, yes, I think Alan and the team did a really good job of that. And as John said, we now have inventories that are down more at sort of normal levels, the consequence of which is whilst there's probably still a little bit that we could do there, it won't have the same impact in 2026 as it did during 2025. The consequence of which is Alan and the De Beers team are looking really hard at other mechanisms of cash flow preservation during the course of this year. And some of those are going to be potentially big changes in terms of overhead costs and other areas of that De Beers have under management at the moment. As far as the divestment process is concerned, I'm not really worried about that because the parties that we have in the divestment process all genuinely understand diamonds and diamond markets. All of them have deep experience in the type of cycles that are experienced in diamond businesses. And certainly, all of them recognize the deep value in De Beers and the quality of the assets that we have in De Beers, so not only the brand in the business, but also the quality of the underlying assets, particularly the Botswana assets. So I don't think that this has a material impact in terms of where we are in terms of the desire for a strategic buyer for the business. Of course, that will play through into the structure of the proceeds that you get for the business because if the business is cash flow negative for a while, it will need to be funded for a while. And I suspect that we will see some form of structure in the consideration of the business. So some upfront payment perhaps and then some contingent payments depending on the time it takes for the industry to recover.
Tyler Broda: We go to Ephrem?
Ephrem Ravi: Just a first question follow-up on De Beers again. I get it that like the participants in the bidding process are our industry veterans in the diamond industry. But at what point in time or at what parameters would you consider a spin-off or a spin-off to shareholders versus a demerger versus a sale? I mean, in terms of how much of that value deferral can you take versus a demerger. So I think just some criteria like the fertilizer, three points that will guide your decision, North Stars would be helpful. Secondly, on copper, and the thematic in general, streaming has been a big sort of theme for all the diversifieds this result season. And you are one of the few people whose cost is actually going up year-on-year from a guidance perspective, presumably due to lack of precious metals credits. Is there some rabbit in the hat that you have, which we are not aware of where you could kind of stream and surprise the market?
Duncan Wanblad: Let me deal with that one first. There aren't really any rabbits in the hat because the streaming of the minor metals is a function of what's actually in the ground and the resources that we have aren't well endowed with silver and gold, unfortunately. The fundamental underpin to the costs going up, as John pointed out on his slide, are driven by two factors. The first of these is that we have strengthening producer currencies relative to the dollar. But at the same time, it also reflects the mix of products that we have during the course of 2026 relative to 2025. But that mix also changes back again in 2027. So we're producing from the lower grade, higher cost Los Bronces mine more proportionately than we would be from Collahuasi, just given that we're moving through that pushback phase and still reliant quite heavily on some of the stockpile production during the course of the year. But as we move now into in 2027 back into the fresh ore in Rosario, that cost profile changes again because we're in that better, higher-grade ore. And at the same time, in 2027, we will have moved more around the mine in Los Bronces, and we'd be producing predominantly from the Donoso 2, which is a higher grade phase of the ore and so the costs will adjust associated with that too. So those are the two primary drivers. And unfortunately, I don't have enough silver and gold in the ore bodies today. Quellaveco has some silver, by the way, and doing very well out of that.
John Heasley: Can I just add on the cost point on the -- on that point on some silver at Quellaveco, our cost guidance doesn't assume those prices are at sort of current levels. So more consistent with a little bit more conservatism given volatility. So if we were to see silver prices stay up at sort of current levels, then there would be some upside to that cost guidance.
Duncan Wanblad: Your question on the spin of De Beers is a good one and slightly complicated in the context of if we were to spin De Beers today, it would be a real challenge in the context of where markets are and where comparables are for a company like De Beers. And therefore, we've chosen to prioritize the strategic sale of the business. This does not remove the option of being able to list De Beers at a time in the future, but it's unlikely to be in the current market environment. And therefore, the sale is the priority that we are focusing on right now.
Tyler Broda: Go to Myles, and we'll come back after that.
Myles Allsop: Myles Allsop at UBS. With the demerger, is there anything that could go wrong now? I mean, how have your discussions with the Chinese regulators been progressing? Is there anything kind of that we should be mindful of? And then thinking about the $800 million, obviously, you're doing more work. That was an audited number. How much upside do you see to the $800 million? That's the first question.
Duncan Wanblad: Myles, so there is actually nothing to comment about in terms of the China regulatory process as it is at the moment. It's pretty much going as we expected it to do at this particular point in time. There have been no odd asks at all, and we're just in the process of providing the information that they've required under the usual process at this point in time. So as I said, we expected fully that this would take sort of 12 to 18 months. Nothing has changed our view on that at this point. As far as the $800 million go, I don't have a new target that I'm putting out in the public at this particular point in time. Safe to say that cost management is a very key component of what we think makes a successful mining company going forward. And we are in the process of developing a really strong muscle on cost management throughout the business. And I think you should expect that to continue as we go forward. So whilst there isn't another target at this point in time, we are still absolutely working on bringing the overall operating costs in the business down. As John said, we are less focused on C1 type of costs because it's like a balloon, you squeeze it here, it pops out somewhere else. I care a lot about the total costs in the business, and that's what we manage on a day-to-day basis.
Myles Allsop: And then maybe just a bit like the streaming question, infrastructure, and other assets in the portfolio, things like water assets, obviously with one at Collahuasi. Do you see -- are you actively exploring other opportunities to kind of optimize value through the portfolio? Samancor as well, I guess that's always one that kind of sits in the shadows and there's potentially a pathway to some restructuring there?
Duncan Wanblad: Yes. So I suppose the simplest answer to your question is we look through the portfolio all the time and look for these value-accretive opportunities. And to the extent that they are genuine and are long-lasting in their effect and not just a sugar hit, we will pursue them pretty rigorously. So that includes having a look at the infrastructure options that exist throughout the portfolio too. But very often, you are kind of hooked up on the back of the fact that unless you have multiple offtakers on a particular set of infrastructure, it still all flows directly through to your balance sheet on a look-through basis. So it doesn't really change much other than add potentially a margin that you're going to have to swallow somewhere along the line. But where there are opportunities, where there are multiple offtakers and you can do something with the assets, and it doesn't compromise the viability of the current operations or the potential future viability of expansion or development of those businesses, we look at that very closely. Samancor, I mean, that's manganese. As I've said it before, that's a wonderful option that we've still got in the portfolio. It's producing really well. So now having come back after the cyclones in Australia a year ago. It's a nice little cash producer. I don't feel like I'm in a great rush to have to restructure anything on that at this particular point in time. I think it provides good optionality within the portfolio on a future basis.
Tyler Broda: All right. Let's geographically go with Dom.
Dominic O'Kane: Dominic O'Kane, JPMorgan. I just want to touch on Codelco. So you have a very strong and a very close working relationship with Codelco. So is there any update you can provide us with on your Andina conversations, but also how do you sense the engagement with Codelco is maybe changing for your organization and the industry more broadly? Do you see more opportunities for your group and the industry more broadly to work more closely and pursue those type of opportunities that Codelco has at its disposal?
Duncan Wanblad: Yes. Thanks, Dom. Look, I mean, you're right insofar as we've had a very long-standing relationship with Codelco given that they have been a partner of ours for many, many years now on Anglo Sur, which is on Los Bronces, El Soldado and the Chagres smelter. And certainly, through many years of that sort of partnership, the operational relationships have been excellent. So even before we did the Los Bronces/Andina deal, we had to work very closely with them in terms of managing operational interfaces on the border of Andina and Los Bronces, and that was generally very effectively done by the two general managers and the people working for them. What we were able to do with the synergy and liberating that wages that exists between the two, dropping the huge expansion CapEx load on both sides of the fence, I think, is very much a function of how Codelco has been thinking for several years, certainly under the leadership of Maximo Pacheco. Given that these were hugely value-accretive opportunities for Codelco, very commercial in the way that they approached it and thought about it and just certainly given how I perceive it has been accepted nationally in Chile and within the various arms of government, I can't really see why that should change in the future. Of course, we know we are going into a phase now where there's a new government in Chile and there could be some changes in the leadership of Codelco. But I think what fundamentally underpins, what's happened today is a very hard core commercial rationale and Chile is still very, very positive foreign direct investment growth and copper growth, particularly.
Tyler Broda: Jason?
Jason Fairclough: Two quick ones. First one is on BHP. So you had a brief follow-up with them in November. Some investors were surprised it was so brief. So I don't know if that's a question for you or for the Board?
Duncan Wanblad: And maybe for Mike. No, I mean there was -- it was a conversation that was had and neither party felt it was worth pursuing after that conversation.
Jason Fairclough: Okay. Second one, just to follow up on our favorite salt mine. How do you justify putting more capital into this when you're trying to capture a re-rating based on being seen as more of a copper pure play?
Duncan Wanblad: So it certainly is completely consistent with the strategy that we laid out and presented to the market in the middle of 2024. There's no new news in terms of this particular story, and it is the best value-accretive option that we've got for that asset. So it just makes sense in terms of option preservation to get it to a point where we rarely do know whether we can or can't take it forward from an investment point of view. Otherwise, it would be a massive write-off and that wouldn't make any sense given the direction of travel and what we understand of that asset today.
Jason Fairclough: Can you just remind us the carrying value and the Sun Capital in the asset, Dunc?
Duncan Wanblad: John, can you?
John Heasley: Yes. We've -- the carrying value today is just around $2 billion and total invested capital over the period is about $5 billion.
Tyler Broda: Matt, please.
Matthew Greene: It's Matt Greene at Goldman Sachs. Probably just continuing Duncan with Woodsmith. You touched on the fact that you want to get through the sandstones to get to a technical point to underpin the feasibility study. You're now going and seeking $0.5 million to go that little step forward. So it sounds like this agreement with Mitsubishi that you're still taking on a lot of the risk here. So what do they -- do they need to see anything in particular here? And I guess just when it comes to bringing in further partners and syndicating here, are you -- what are you looking for in a partner? Because -- is this just a financial partner? Or are you looking at someone that's going to take perhaps disproportionate risk on the marketing side of this product?
Duncan Wanblad: No. So I think Mitsubishi are looking for exactly the same things that we're looking for in terms of a feasibility study. One is continued confidence in an ability to build the market for the product. And as I said earlier, they have developed an in-house capability to test that. So it's hugely validatory from our perspective that it's not just us in an echo chamber about how we think this product is landing in the market and how effective it is in the market. We've got a genuine independent view of somebody else who's trying to look at it through the same sort of lenses that we are. And of course, they are absolutely going to need to understand what the capital cost for development of this project is on a go-forward basis, and what the risk inherent in the development of that project is, and that can only be determined by a quality feasibility study. They do cost a lot these feasibility studies. I'm completely cognizant of that. And -- but the reality is that this was true for Quellaveco 2, slightly different scale, but we had to spend a lot of money upfront to fully characterize the risk that we had in that ore body and in the development of the infrastructure around that ore body to know for sure that we had a very high probability of meeting the capital costs within the contingency that we had specified for that project. And this is no different, right? I mean these are -- if you want a proper and a secure understanding of what these projects are going to cost and how much they are going to likely to be -- to return to you, you need to do the homework upfront. And so it is this trade-off of how much you spend upfront versus how much of a risk or a gamble you're prepared to take on imperfect information and data to go forward on a project. We elect to spend a little bit more upfront to get much better security of information and data that then defines not only the execution period of the project, but also the life of the project. And I think that, that was well underpinned by what we saw happen at Quellaveco, not only during the project development and execution phase, which is one of the very few projects in the industry in recent times that was absolutely on time and on budget. But not only that, it did kind of what it said it was going to do on the [ tin ] and reduced an 8-year payback period to a 4-year payback period. I mean that is real value going forward. And that's sort of what I believe Mitsubishi is looking at in the same way that we're looking at, very like-minded, right? Bear in mind, Mitsubishi is also our partner on Quellaveco. In terms of do we have criteria for other types of investors. So Mitsubishi now have an option to go up to 25%. They're not limited to 25%. So if they chose to, they could go more than that if they would like to. And we are absolutely open to bringing on at least one more partner. The idea here is that it's not only financial. I mean financial risk mitigation is a very big important part of that. That's exactly why we brought on a partner for Quellaveco. But at the same time, to the extent that we can leverage a partner's capabilities, particularly in the mid and downstream of this is where we'd like it to go. And as I said, Mitsubishi is developing that capability. They have a very strong trading capability in that business anyway. So they have access to markets and are learning quite a lot about the product, too. So it's that type of partnership that we would see as very valuable going forward.
Matthew Greene: That's great. Sorry, if I could just have a follow-on on Collahuasi on the fourth line. Just to get your guidance next year, you had about, I think, $600 million on copper growth. Los Bronces was in there. Obviously, that's not happening anymore, and you had Collahuasi fourth line. There's no mention of that anymore. Should we read into that at all? This fourth line option has been floated around for 15 years or so. You presented your slides of how many options you have in the pro forma portfolio with Teck. If Glencore doesn't come play with QB, is there an option here that we could see the fourth line deferred again?
Duncan Wanblad: If Glencore doesn't?
Matthew Greene: Obviously, you want to get a QB scenario here. But is there a point that you actually decide as Anglo, you do not want to pursue the fourth line because you have alternative options?
Duncan Wanblad: No. Look, I mean, we'd never be churlish about this for sure. I mean what we're trying to do is, is mine the right resources in the right way and at the right time? The fourth line is an option, but it's certainly not the preferred option for Collahuasi. As I say, as I look at the pre-feasibility studies versus the concept studies and so on at this particular point in time, there is a much better option in terms of both risk and capital intensity by doing the combination of Quebrada Blanca and Collahuasi. I mean I would hope that all the partners would see it that way as we move forward. And certainly, I mean, that has been fundamentally the driver of the thesis for Collahuasi on all sides of the fence for a long time. It's -- now it is fundamentally how do we set up a new shareholders' agreement? How do we share the value of the synergies, and that's the negotiation.
Tyler Broda: We go to Chris.
Christopher LaFemina: Duncan, it's Chris LaFemina from Jefferies. So first, Jonathan mentioned yesterday on the call that you received U.S. regulatory approvals. You mentioned it again today. Is that like full Hart-Scott-Rodino, DOJ, FTC, U.S. regulatory approvals are done, which, in my opinion, would be a major step forward because of the fact that copper is a critical mineral now as per Congress and Teck's biggest shareholders are Chinese. I thought that would be a hurdle to getting this across the finish line. So are you fully done with U.S. regulations is the first question?
Duncan Wanblad: Yes. Well, certainly, all the regulations that we needed to have applied for consent under we have at this particular point in time. The only two outstanding are South Korea and China.
Christopher LaFemina: And then secondly, on Moranbah North, I think back in August, you said the run rate was costing you $45 million a month or something that was 6 months ago. In the last couple of months, has it been similar to that level? And then with the phased restart of the longwall now, and I think you referred to it as a structured restart of the longwall, what exactly does that entail? And what are the cost run rates on -- as you're ramping this thing back up?
Duncan Wanblad: Okay. John's probably got exactly the numbers, but of course, they will be lower for two reasons. One is from November, Moranbah South -- Moranbah North got back into production in a limited fashion, but there is actually coal being cut and it is being sold. That's point one. Point two, it's being sold into a higher price environment at the moment, which is also pretty helpful. But specifically, to your question about what is actually happening in terms of the ramp-up again at Moranbah North. First of all, the permission that we got to restart the mine in -- at the end of October last year, so really restart in November was conditional on the fact that when we were actually cutting coal with the longwall, we didn't have anybody underground. Until such time as we got far enough away from what was believed to be the source of the incident. And during that period, therefore, we had to remotely operate the longwall, which is a good thing, right, because that's generally a more productive way of doing it over time. But because if you have a roof fall or anything that sort of impacts the whole chain and the longwall and so on, you have to stop. We had condition that said we had to see what happened to the atmosphere, the environment down there. They had to get to sort of stable levels in terms of carbon monoxide and then we could send people down. And so the gap between a stop and a restart was anywhere between 6 and 12 hours. So it's pretty unproductive. We are now, as of the beginning of February, in a position that we can run the mine completely unrestricted in that context. We have an agreement with our own workforce to be about 120 meters away from where that incident occurred before we actually start running it in an unrestricted sort of fashion. We're at about 90 meters now. So another few weeks to a month is where we would now then be able to just start ramping up under normal conditions with the natural variations, which are attributable to that type of ore body.
Tyler Broda: Can we go to Alain quickly, if that's all right. And we keep it to one question from here on, as we've only got a few minutes left, if that's okay.
Alain Gabriel: One question from my side, Duncan, is granted, you've got your hands full with completing the Teck transaction, but you've also got a very capable project team at Quellaveco. Do you see opportunities to leverage their capabilities in exploiting inorganic options such as partnership with other majors in Latin America where you can best utilize this team?
Duncan Wanblad: Alain, you are quite right. I have an absolutely capable team across all fronts. And certainly, [ Alan ] and the projects team are looking for every opportunity that they can as well as Helena and the business development team. And to the extent that there are opportunities for us, we would, of course, engage in those. They would have to fit all the criteria that we have in terms of how we allocate capital, how we manage risk in the business going forward. We don't have any external options that are on the table that you don't know about today in that space and particularly not in Peru at this point.
Tyler Broda: Tony?
Anthony Robson: Tony Robson, Global Mining Research. Possibly for John. Carrying values for De Beers, $2.3 billion. Could you remind us, please, I'm sure it's in the accounts. Is that before or after any debt within De Beers? Or is it net or gross? And secondly, any -- given it's a discontinued asset and you're much closer now to realizing its value or knowing what its value is, any accounting IFRS rules that say you have to market to market? So is that -- but I still assume it's on future prices, cost discount rates and so on, your $2.3 billion.
John Heasley: Yes. So the $2.3 billion is on an enterprise value basis. So of course, there is some intercompany funding within De Beers, but from a valuation perspective, that sort of nets out that sort of some capital from an Anglo American perspective. So the $2.3 billion, which is 100%, remember, not the Anglo American share is on an enterprise value basis. In terms of the accounting, then you have to sort of look at the fair market value and the value in use when you're doing your impairment assessment. So you have to take both of those things into account. So there is no absolute requirement to mark-to-market, but you, of course, have to take into account information you have around what that market value could be as you are forming the impairment assessment.
Tyler Broda: And we go to Ben and Alan quickly here.
Benjamin Davis: Ben Davis, RBC. Just on De Beers, I was wondering if you could give us any color on the potential bidders. Has that settled down now? Has that bedded? It feels like we've had a lot of media reports of various government interest, consortium interest and how well financed those are? And also, are those consortium include governments, et cetera?
Duncan Wanblad: So they're all consortia that are involved. Some of them include governments and some of them don't. So there is a possibility that there will be -- our share will be sold in three parts potentially or two parts potentially. That depends on where we get to in the negotiation in the next few weeks.
Tyler Broda: Grant?
Patrick Mann: Patrick Mann from Investec. Can I just ask a little bit more on the time line? So it looks that the optimal scenario here would be dispose of steelmaking coal, close nickel and De Beers before Anglo Teck closes at the end of the year and pay the special dividend. Are you confident in the timing of that De Beers thing? Or could we see a scenario where Anglo Teck closes and you're still trying to exit De Beers post that fact? And then I understand that your -- still your best estimate is 12 to 18 months. But given there's only two outstanding regulatory requirements, I mean, what is the soonest this could happen? I mean, could we wake up in a couple of months and it's done?
Duncan Wanblad: There is nothing in terms of the Anglo American portfolio restructure that is contingent on the completion of the deal with Teck. So the sequence that you described would be absolutely ideal if indeed we could make that happen. But there's no contingency of that to -- or contingents of that to the completion. So the consequence of that is that it is highly likely if the deal closes in that 12-month window, so around about September or so of this year, that De Beers will still be in the portfolio. I'm targeting, of course, to have it sold at that particular point in time, but it then will be running through its statutory and regulatory processes for completion. So it would be in Anglo Teck's portfolio until such time as it was gone. In terms of the 12 to 18 months, I mean, I think theoretically, that there's not much change in that 12-month time. And therefore, that is the most likely period where we would expect it to be completed.
Tyler Broda: Very good. I think is that -- are there any other questions left in the audience? There aren't. Okay. Well, in that case, thank you very much for all of your questions at the end of a very long week. We really appreciate it. And I look forward to following up with you in due course. Thank you.
Duncan Wanblad: Thank you.